Operator: Good day, and welcome to Symantec's Fourth Quarter and FY '13 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss our fourth quarter and fiscal 2013 results. With me today are Steve Bennett, Symantec's President and CEO; and James Beer, Executive Vice President and CFO. In a moment, I will turn the call over to Steve. He will discuss our execution during the quarter and fiscal year as well as provide some thoughts on fiscal '14. Then James will provide highlights of our financial results as well as outline our guidance assumptions. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website. A copy of today's press release and supplemental information are posted on the website. A copy of today's prepared remarks, including guidance, will be available on the Investor Relations website after the call is completed. Before we begin, I'd like to remind you that we provide year-over-year constant currency growth rates in our prepared remarks unless otherwise stated. Earnings per share growth rates are provided on an as-reported basis. We use our foreign currency rules of thumb in our guidance section for the constant currency year-over-year growth rates. For the March quarter, the actual weighted average exchange was $1.32 per euro and the end-of-period rate was $1.28 per euro, compared to our guided rate of $1.32 per euro. For the March 2012 quarter, the actual weighted result was $1.31 per euro and the end-of-period rate was $1.33. We've included the summary of year-over-year constant currencies and actual growth rates in our press release tables and in supplemental information, which is available on the website. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in these statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with generally accepted GAAP -- accounting principles, or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our website. And now I'd like to introduce our CEO, Mr. Steve Bennett.
Stephen M. Bennett: Thank you, Helyn, and good afternoon, everyone. I continue to be amazed by the great work done by our talented, engaged employees. Our people are focused on execution, and they're delivering. They are also excited about the Symantec 4.0 strategy and mission to protect and manage information so everyone is free to focus on achieving their goals. We delivered better-than-expected results for the quarter and year. Fiscal year '13 results were driven by our strong point solutions such as NetBackup, DLP and other information security offerings, as well as continued growth in our Norton and SEP endpoint products. We grew 3% organically, the largest organic growth rate in 5 years. FY '13 also was the start of the transformation of Symantec. The only significant things that changed during the year were some executive transitions and the January announcement of our new strategy, an organizational simplification initiative. FY '14 will be different. Many critical things will be changing like completing the streamlining of our management structure, reallocating significant amounts of our development resources to focus on our most promising point solutions, exciting new integrated offerings and some exciting new partnerships we haven't announced yet but expect to in the next 90 days. We're also changing our go-to-market strategy in many of the elements, like the creation of a new renewals team, focusing our sales organization on new business only, changing our sales compensation program, converting our generalist sales force to one that's specialized and focused on either Information Management or information security, introducing a new channel strategy and set of partner programs and building a high-powered marketing organization, to mention a few of the most critical. I'm certain that these will lead to significantly improved longer-term performance for Symantec. But in fiscal year '14, there's a bit more uncertainty than normal in our plan than there was in fiscal year '13. We are factoring this into our guidance as best we can. Let's talk in more detail about some of the changes. We're in the middle of rightsizing our management structure. We have made significant progress and are expected to have the final structure completed and in place in July. We are reducing the number of layers and increasing spans of control for our managers to industry standard levels in an attempt to increase the speed of decision-making and to improve accountability and execution. We expect to eliminate between 30% and 40% of our management positions. We will have fewer, bigger jobs for our best and brightest. We are also attracting world-class talent from the outside, some of the most recognized tech companies in the world. Over the next few months, you'll hear more about some great senior-level talent coming to join and strengthen the Symantec leadership team. As the threat landscape evolves and the consumer and enterprise worlds continue to converge, we see real value in merging our Norton and SEP solutions to solve new customer problems and reduce redundant expenses. Moving from protecting the endpoint to protecting people and their information in a device-independent way will help us transform this business. Especially when you think about all the new control points that will be added as we move into the -- enter the era of the Internet of Things with connected devices touching nearly every aspect of our lives. Our Norton business has a large and loyal customer base, and this gives us great foundation to build on as we reinvent this important business. In the short term, we expect the Norton business to deliver flattish revenue growth given market dynamics, including PC unit declines. As mentioned in January, our FY '15 to '17 planning assumption is for this market to be relatively flat over that time horizon. Despite what we are focused -- despite that, we are focused on innovation to define new market opportunities that grow the category. One example is leveraging the powerful Norton brand to help us better reach small businesses. Given how this market has evolved, we are taking a rigorous look at every partnership deal. We will not sign any new agreements that don't make financial sense. Moving away from any OEM distribution partnership would put some pressure on our new customer acquisition in the short term but would be materially accretive to the bottom line. With respect FY '14 financials, we remain committed to delivering 0 to 2% revenue growth and a 200 basis point improvement in non-GAAP operating margin in constant currency for the year. Let me take a second to highlight 2 other things we feel good about. We are still guiding a 200 basis point improvement even though we delivered 60 basis points above expectations on a currency-adjusted basis in the fourth quarter of FY '13. James will provide more details, but let me highlight that margin improvements are not balance throughout the year. They are more back-end loaded as the benefits from organizational simplification don’t really begin until the September quarter. Second, we remain committed to returning excess capital to shareholders. With the stock price increase since January, we are maintaining our 2.5% dividend and raising the quarterly amount from $0.13 to $0.15 per share. This amounts to an additional $70 million on an annual basis. We will also maintain the share repurchase activity levels we talked about in January. So in effect, we are now planning to return more cash to shareholders than we announced in January. James will provide more details in a few minutes. In summary, we're happy with the fiscal year '13 performance. In fiscal year '14, we will make significant progress transforming Symantec and building a solid foundation for future profitable growth. We will work hard to deliver solid results in FY '14 while making these important and material changes. We are gaining momentum, and customers, partners and employees have responded well to our strategy. Our markets continue to grow, and we have some exciting new offerings, partnerships and go-to-market changes that will accelerate revenue growth in FY '15 and beyond. As stated in January, we remain committed to delivering compounded annual organic revenue growth above 5% with greater than 30% margins in the FY '15 to '17 timeframe. Let me close by saying that after 9 months, I've never been more excited about our prospects and opportunities, and confident about our ability to transform this company in a very positive way to deliver a much higher level for our customers, employees, partners and shareholders. We are making solid progress every day and getting better on many fronts. Thanks for all of your support and with that, I'll turn the call over to James.
James A. Beer: Thank you, Steve, and good afternoon. I'd like to start with a summary of our financial results for the March quarter and then review our performance during fiscal year 2013. We posted better-than-expected March quarter results, including record revenue and deferred revenue that were driven by double-digit growth in our backup business and continued strength in Data Loss Prevention and our other information security products. Fourth quarter GAAP revenue grew 5% in constant currency to $1.75 billion. This result drove our organic constant currency revenue growth to 4% for the March quarter year-over-year. Our better-than-expected revenue results, coupled with lower spending across the company, expanded our non-GAAP operating margin by 140 basis points year-over-year to 23.9%. Consistent with the growth we are experiencing in our subscription and appliance businesses, non-GAAP gross margins declined 90 basis points year-over-year. Non-GAAP net income of $314 million resulted in fully diluted non-GAAP earnings per share of $0.44. Improved operating leverage from stronger-than-expected revenue performance positively impacted EPS by $0.04. In addition, lower OEM fees and other spending controls each accounted for approximately $0.01 of benefit to EPS. As expected, we received an R&D tax credit benefit, while other one-time tax benefits positively impacted EPS by approximately $0.01. CSEs of 714 million were higher than expected as the increase in our stock price drove greater option exercises and dilution from our convertible notes of approximately 12 million shares. This negatively impacted EPS by $0.01. Cash flow from operating activities for the March quarter totaled $612 million, down year-over-year due to payroll timing and higher spending on product development and restructuring. Now moving onto the full year results for fiscal 2013. We generated record revenue and deferred revenue, expanded non-GAAP operating margins by 60 basis points and delivered double-digit EPS growth driven by our backup and information security businesses. NetBackup, which is the largest product in our portfolio, was one of our fastest-growing businesses in fiscal 2013 driven by strong demand for our backup appliances. Overall, we drove organic constant currency revenue growth of 3%. In FY '13, 87% of total revenue was ratable, and we continue to provide increased revenue predictability as much of the growth in our product portfolio is subscription-based. In aggregate, content, maintenance and subscription revenue grew 5%, while license revenue was flat year-over-year. Subscription revenue, which includes our consumer, authentication, Managed Security Services and SaaS offerings, grew 6% and accounted for 44% of total revenue compared to 43% of revenue in fiscal 2012. Excluding the Consumer business, our enterprise subscriptions grew 12% and accounted for 14% of total revenue as compared to 12% in the prior year. Turning now to our business segments. In fiscal year '13, the Storage and Server Management segment, which consist of our backup, archiving and Storage and Availability Management businesses, grew 5% and generated revenue of $2.48 billion. Specifically, revenue from our backup and archiving business grew 9% year-over-year and 6% organically driven by NetBackup. Revenue in our Storage and Availability Management business decreased 4% year-over-year as headwinds continue from the decline in our customer's use of the Solaris platform. The Security and Compliance segment grew 7% year-over-year and generated revenue of $2.05 billion. Organically, Security and Compliance grew 3% driven by our continued leadership in Endpoint Protection and double-digit growth in our information security business. The Consumer business grew 2% year-over-year to $2.11 billion driven by upselling customers to our premium suites and growing our emerging backup NortonLive Services and Mobile businesses. Our Services business grew 7% year-over-year to $265 million driven by double-digit growth in Business Critical Services as demand for high-touch infrastructure protection services continues to grow. Turning now to total company margins. Non-GAAP gross margin declined 100 basis points year-over-year driven by growth in our backup appliances and subscription businesses. Non-GAAP operating margin was 25.7%, up 60 basis points from the year-ago period driven by our revenue growth and lower OEM fees. We generated $1.6 billion of cash flow from operations, down 16% year-over-year as reported driven by reduced collections due to weak billings at the end of the March 2012 quarter, higher cost of goods sold, restructuring costs and cash tax payments. Our total cash balance of $4.7 billion includes the $1 billion in net proceeds from our debt offering in June 2012 that will be used to retire our $1 billion convertible notes maturing next month on June 15. Excluding this $1 billion, approximately 31% of our cash balance resides in the U.S. During the fiscal year, we spent $826 million to repurchase 49 million shares at an average share price of $16.98, reducing our common stock outstanding count by 7% or a net 3.7% after adjusting for stock compensation. Now I'd like to spend a few minutes discussing our guidance. Starting in fiscal 2014, we will be providing annual guidance as well as quarterly guidance. We are replacing quarterly deferred revenue guidance with operating margin guidance and adding EPS guidance for the year. This change will allow investors to better track our progress against our key financial measures. For fiscal year '14, we remain committed to our revenue guidance of 0 to 2% growth and non-GAAP operating margin expansion of 200 basis points, both on a constant-currency basis. We are maintaining our operating margin target even though in fiscal year '13, on a constant-currency basis, we delivered 60 basis points more than expected. We expect non-GAAP EPS to grow between 5% and 7% in fiscal year '14. For the June 2013 quarter, we expect GAAP revenue to be in the range of $1.61 billion to $1.65 billion compared to $1.67 billion in the year-ago period. Revenue is expected to be lower year-over-year for 2 reasons. First, the weak yen is driving a projected foreign currency headwind of $15 million; and second, our typical Q1 sequential revenue performance has been down about 2.5% versus the 1.7% reduction implied by consensus estimates. This difference equates to another $15 million. We expect GAAP operating margin to be in the range of 8.6% to 8.7% compared to 16.1% in the year-ago period. Non-GAAP operating margin is expected to be in the range of 22.6% to 22.7% compared to 26.1% last year. GAAP earnings per share are estimated to be between $0.11 and $0.12 as compared to $0.24 in the year-ago period. Non-GAAP earnings-per-share are estimated to be between $0.35 and $0.36 as compared to $0.43 in the year-ago period. EPS is expected to be lower year-over-year driven by the revenue items I just noted and higher spend year-over-year, each accounting for $0.03 of impact to EPS. Also, starting in the June quarter, we expect to implement a new commissions accounting methodology, which would decrease EPS by $0.01 in the quarter. This methodology more evenly distributes the impact of commission expenses across our quarters while more closely aligning our expenses to the timing of the associated recognized revenue. As part of our capital allocation strategy announced in January, we will distribute our first ever quarterly cash dividend of $0.15 per share, equivalent to a yield of approximately 2.5% based on the closing stock price of $24.35 on May 1, 2013. This is a significantly higher dividend payment than what we assumed in January given our recent stock price appreciation. Payment will occur on June 27 to shareholders of record on June 19. In addition to paying dividends, we will continue to buy back our shares. Based on our recent stock performance, more of our outstanding options are in the money, and we are seeing an increased rate of employees exercising options. We plan to use the proceeds from exercised options to add to the previously projected total capital return of $800 million for FY '14. Depending on actual option exercise volumes, this could add between $100 million and $150 million to our total capital return to shareholders in fiscal year '14. Our guidance assumes an exchange rate of $1.31 per euro versus the weighted average rate of $1.28 and the end-of-period rate of $1.27 per euro in the June of 2012 quarter. Our guidance for both the quarter and the full year assumes an effective tax rate of 28%. We expect common stock equivalents for the quarter of approximately 710 million shares, and expect our share count to remain flat for the full year. And now, I'll turn it over to Helyn so that we can start taking some of your questions.
Helyn Corcos: Thank you, James. Gwen, will you please begin polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While Gwen is polling for questions, I'd like to update you on our upcoming conference events. We will be presenting at the JPMorgan Investor Conference on May 15 in Boston, and we'll be reporting our fiscal first quarter results on July 30. For a complete schedule of our investor-related events, please visit the Events section of the Investor Relations website. Gwen, we're ready for our first question.
Operator: And we'll take our first question from Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Inc, Research Division: I'm wondering, James, if you could talk about you not guiding to deferred revenue growth. Could you talk about just how we should expect that to track versus revenue? Should it follow historic patterns? And then any comments on cash flow for fiscal '14 would be helpful as well.
James A. Beer: So in terms of deferred revenue, I would expect it to approximately track revenue. What we are seeing is increasing growth in the subscription businesses in the Services business, which of course start out their sales volumes as deferred revenue on the balance sheet. So I would expect directionally deferred revenues to continue tracking along with revenue. In terms of cash flow for fiscal '14, I mean, the first thought is I would expect over a longer run that cash flow would track operating profit growth. In fiscal '14, as we discussed back in January, we'll have some pretty sizable severance charges of the order $220 million to $250 million on severance coming up. And so I would expect cash flow to be down year-over-year in fiscal '14 as a result.
Walter H. Pritchard - Citigroup Inc, Research Division: And then Steve, can you just talk about on the sales side. I think we've become sort of may be hypersensitive at Symantec to disruptions in the sales force and impact of that. Could you give us a sense of just sort of order of magnitude how many people are changing roles and how you've accounted for that in your -- in both your maybe your Q1 as well as your annual guidance?
Stephen M. Bennett: Walter, I think the big thing is that virtually everybody's changing roles because we're moving from full line of salespeople that were all generalists, selling all of our products and services, to having people that are specialists in Information Management or information security which has been very well received from our customers and from our partners as people have been asking us to be more specialized for a while. So that our core salespeople, it's a big change. And so -- but I would tell you, in my discussions with them, they're very fired up about the changes at Symantec and the new offerings that are coming and the progress we're making. So we have a talented and energized sales force that's going through some degree of change, and we think we're thoughtful about the impact that could have on revenue. But my view is that with all the good things happening, I think we'll get through this without too many significant bumps, at least that's what I'm hoping.
Operator: And we'll go next to John DiFucci with JPMorgan.
Kenneth R. Talanian - JP Morgan Chase & Co, Research Division: This is Ken Talanian in for John. Just first, looking at your guidance for next quarter, on the revenue side, is any of that weakness focused on a specific segment of your business?
James A. Beer: No, I wouldn't say so. I'd just reemphasize the focus on the yen and the way that, that has weakened quite significantly in the last few months, in particular at our normal sequential variance of revenue from the March quarter to the June quarter.
Kenneth R. Talanian - JP Morgan Chase & Co, Research Division: Okay. And then just generally speaking, on the Consumer business, obviously, we are facing a bit of a headwind, given the PC unit market declines. As you think about that business, how much impact is the upselling to premium in the emerging products like mobile? How much is that compensating for the slowdown in your core market?
James A. Beer: Yes, when you look at our performance of recent times, I'd say about 1.5 points of growth are coming from the new emerging products and services such as mobile.
Stephen M. Bennett: But I think it's important, Ken, to say that OEM deals and PC slowdown is having less and less impact on our new -- it's a decreasing part of our new customer acquisition as we build up our direct e-commerce capability to acquire customers direct. So it used to be like that was the majority, and now it's way, way less than 50% and going down. So while the PC softness puts some pressure on us, I don't think that's going to have as much impact as people might be thinking.
Operator: We'll take our next question from Brad Zelnick with Macquarie.
Brad A. Zelnick - Macquarie Research: Steve, if eliminating 30% to 40% of sales management is indicative of the changes you're making to the rest of the sales force, it would seem this could yield even more than the 200 basis points of margin improvement. Because if you're able to get enterprise sales and marketing spend down closer to benchmark, call it 30% of enterprise sales, that would yield more like 600 to 700 basis points of margin improvement. So are you reinvesting some of this elsewhere, or is this just happening more slowly? And to that point, to the revolution of Symantec 4.0, when can we expect the organizational changes to be largely locked down?
Stephen M. Bennett: Well, I think, Brad, that we've changed over 50% of the senior leaders on the team already. So -- and we did that in the January announcement. So I would say that's a pretty significant move, and the 30% to 40% number that we talked about was in the total company. So -- and we said that will be completed in July. So we expect that to be, what I call the final 2 waves of that, and we expect that to be completed in July. So I mean, that's kind of a tough time that we're in now and -- but we'll be through it in July. The other point you bring up is, obviously, for us to redeploy a bunch of resources to fund these integrated new offerings that we talked about and these new partnerships, that money is coming from somewhere. So over time, we are spending, as we said, more money on R&D to solve our customers' most important growth and -- or most important problems so we can accelerate organic growth. So I think what you have us doing is taking money and reinvesting it. We're giving some to shareholders, and I think 200 basis points again this year on top of the performance in the fourth quarter is a pretty significant commitment. At the same time, we're investing in the things that give us confidence that we're going to grow more than 5% organically over the '15 through '17 periods. So I think we're balancing both sides of giving margin and investing in things that are going to drive long-term growth. I mean, we could give you more margin in the short term if we didn't want to invest in driving long-term growth, but we think we're at the appropriate balance between returning excess cash and margin to shareholders and investing in things that we think are going to create more longer-term value for our investors.
Brad A. Zelnick - Macquarie Research: That makes sense, Steve, and the balance makes sense as well. James, if I could just ask you a quick one. On the new commissions accounting methodology, can you just maybe talk to us a little bit about which quarters we should expect some of that expense to come from, so where we see the benefit on the flip side?
James A. Beer: Yes, what we'll be doing is, in essence, reducing what you would've previously seen in the back half of the year and increasing commensurately in the front half of the year. Now what we will do as we publish our results is go back in time, and so you'll have true apples-to-apples history given this new methodology.
Operator: We'll go next to Brent Thill with UBS.
Brent Thill - UBS Investment Bank, Research Division: Steve, just on the sales transformation. Other companies that we've all followed, when they go through a change this sizable, it tends to take 6 to 9 months to settle in. So if your plan is to be completed by July, what gives you confidence in that the second half of the recovery versus pushing in -- out a few more quarters which has historically been the norm?
Stephen M. Bennett: So Brent, I think I'm giving you mixed message here, apples and oranges. We said that we were going to be done with the management initiative only in July. I think the transition of our sales force will proceed in a thoughtful and measured way through the year. For instance, we haven't even decided yet when we're going to flip things over to the renewals team versus the field sales force today, and so we're going to phase that among different geographies in the world. So I think the whole year, we should be thinking about a smooth transition, but our strategy on this was to tell you what was coming, tell our employees what was coming and make them part of the process as opposed to announce it on Friday and change everything on a Monday. So I think we're going to be able to because there's no surprise here, hopefully manage the transition more smoothly than some have but at the same time, it is a big transition. So I would think about -- we're not shooting for a deadline here. We're talking about trying to get it right, which is why we thought despite the recent positive momentum, that it made sense to be 0 to 2% revenue guidance for next year, which is the same thing we told you in January.
Brent Thill - UBS Investment Bank, Research Division: Okay. And just a quick follow-up on the backup business which is clearly a highlight; can you give us your sense of what you're seeing in the pipeline this year in that business? And it seems, again, to be outpacing the other business by a considerable margin. What are you seeing that's driving that?
James A. Beer: Well, I think the capabilities that our appliances offer our customers are quite well differentiated our ability to duplicate the reams of data -- deduplicate it, excuse me, effectively for them, closer to the source of the information being created has worked to be very popular with customers. And beyond that, I'm encouraged by the pipeline of development that we have around our appliances generally. So I think we'll have more to offer our customers in the coming months and quarters.
Operator: We'll take our next question from Keith Weiss with Morgan Stanley.
Keith Weiss - Morgan Stanley, Research Division: I think, guys, we're a little bit surprised to see headcount ending the year up in Q4 versus Q3 given all the talk about restructuring and reducing management layers and the like and then subsequently, the timing of the expense cuts through FY '14. Can you walk us through, perhaps in a little bit more detail, the timing of headcount reductions on a go-forward basis, when expenses get taken out of the model over the next couple of quarters to get to the type of margin improvement that you're looking for in FY '14?
Stephen M. Bennett: So let me just give you a little, Keith, a little bit of philosophy and I'll turn it over to James. Look, I think that this is kind of an interesting number because we have thousands of temporary workers and contract employees that you never have any visibility into that I do. So at the end of the day, as you're trying to figure out how to model all these stuff, you're never going to have the data to model it that you'd like to have. And so one of the things we did is we invested in some areas that, like I said in December, to add resources to fix -- in the technical support area. Now we didn't add 1,000 employees. So -- but I think the material point from my point of view, and then I'll turn it over to James to give you something more thoughtful, is we're committed to 200 basis points of margin improvement for next year and people-related costs are 70% of our costs. And so we can't get there without managing our investment in resources, but it's not just the headcount numbers you see. It's temporary employees and contract employees, and there's all sorts of games that companies can play to keep employees off the books. We're just cleaning out all of that, and we're going to deliver 200% -- 200 basis points of margin improvement. And so there's a lot of moving parts here, and that's what we're focused on managing.
James A. Beer: Yes, the headcount drivers, Keith, specifically, more than half of it was tech support as we've discussed in previous calls that we've really been looking to focus on improving the customer experience there, and we're pleased by the progress we're making. The rest of the headcount additions were in areas of the business where we're growing very nicely, so areas like appliances. And of course, as our service businesses grow, we have to add the heads for the people who are delivering on those services.
Keith Weiss - Morgan Stanley, Research Division: Got it. And then maybe a follow-up on some of the transaction counts. It looks like you guys saw growth in the deals over $300,000. But the multiple product number that you gave, the percentage of large transaction of multiple products fell off a little bit, both in the $300,000 and the million -- $1 million value. Was that macro-related? Was that purposeful in spreading out transactions a little bit more? Could you give some color into why those metrics stated on a year-on-year basis?
James A. Beer: No, I wouldn't point to anything of a strategic nature here. The metric that you're referring to is a dollar-based metric, and it just so happened that a year ago, all of the top deals included both security and storage and this year, most of them were one or the other. It's just the way the deals tended to fall. I think it's important to really focus on our organic growth rate. We got it up to 3%, best in 5 years.
Operator: And we'll go next to Phil Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: I just wanted to dig in a little bit about sort of just the timing and the flow in the sales force changes and just in terms of guidance. And obviously, a lot of the changes are going to be happening here in Q1. Just wondering if you're going to detail how you contemplated that in terms of the revenue guidance? Obviously, James, you talked about the currency headwind from Japan. But when you think about just the changes that are going on, how you -- kind of whether it'd be haircut the pipeline or what have you for the June quarter to make sure that it's conservative enough, given the amount of changes have been, to the question of how you kind of expect the revenue growth to reaccelerate to get to 0 to 2%. I mean, is it very much second half weighted or how do you just expect that to flow on?
James A. Beer: Yes, for the current quarter, we really aren't changing the traditional structure of compensation and so forth for the sales team. That all really kicks in later in the year. So I wouldn't point to any change we've made in how we think about revenue guidance related to change in comp structures. It's really just driven...
Philip Winslow - Crédit Suisse AG, Research Division: I didn't mean comp structure. I mean, also headcount too.
James A. Beer: Well, similarly, we wouldn't be seeing those issues impact the sales force during Q1. So the revenue for Q1, very much driven by the yen factor that I noted and just the normal sequential move from a March quarter to a June quarter.
Operator: And we'll go next to Aaron Schwartz with Jefferies.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: I had a follow-up question on the storage business. You talked about the strength in NetBackup, and it sounds like from your Vision Event, you're going to be moving more towards capacity-based licenses over the summer. Can you talk about the potential impact there? And then secondarily, on the storage management side, is there any sort of line of sight to a trajectory there? Should we continue the same dynamics on the Solaris to Linux migration?
James A. Beer: In terms of the move to more capacity-based pricing around NetBackup, I wouldn't expect that to have a noticeable effect on our revenue trend line. While there would be some moving towards a more ratable approach as a result, the flip side of that is as we continue to grow the appliances business, then there's more of that revenue recognized upfront. So net-net, I wouldn't see an awful lot of variation in the overall revenue growth rate.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: And on the storage management business?
Stephen M. Bennett: I would just say that as you look at these new integrated offerings that we're talking about, a bunch of them, including some of the partnerships we're talking about, include leverage what we used to call the storage management business. So again, I just don't even think about it as a business, and I don't think you'll see us reporting revenue, James, as we go forward on the storage management business. So to me, this is technology that can solve important problems when we redeploy it and think differently about it, and we got into trouble as a company thinking about it as a standalone business. And so I think the sooner we move to how fast is -- how we're using this to help us grow and solve new customer problems, I think the faster we'll be through the transformation from 3.0 to 4.0.
Operator: And we'll take our next question from Kash Rangan with Merrill Lynch.
Kash G. Rangan - BofA Merrill Lynch, Research Division: I certainly appreciate the Strategy Day that you had back in January in terms of how you're aligning your cost structure, your management spend, et cetera, and certainly that boils into an attractive financial outcome. I'm also curious to get your perspective on the product in comparative side. I look at the core business, it's largely dominated by the endpoint business and also the storage business. And there are some maturity concerns in those 2 businesses. You got secular competitors, new generation of anti-malware companies and some secular competitors, such as Amazon Web Services. I'm wondering, how do you take into account the longer-term structural changes in your end markets and how you reposition your product portfolio to achieve these financial objectives?
Stephen M. Bennett: Kash, I think it's a good question. It's a question I asked when I came in, and I toured around the world and everybody told me the same thing is that we've competed on a series of 150 different point solutions and what we've reoriented the whole company around is leveraging all our technology to solve our customers' most important problems. So what we said is, which is really important on this front, is we're going to double down on some great point solutions we have that are leaders like NetBackup that continues to perform well. We're going to solve higher-order customer problems with these new integrated offerings that we announced in January that we think changes the basis of competition from point solutions where we have to compete with all of the individual point solutions to integrated offerings where it's hard for our competitors to compete. And third, we're going to talk -- we talked about some new partnerships where we integrate what we do with what third parties do, like network security providers, to do a better job for support and [ph] customers. And so I think by definition, our whole strategy is based around changing the game to solve important customer problems. And the feedback we've gotten from basically universally from everybody you talk to, this strategy makes sense, can you execute, and that's what we're focused on doing. And from what I've seen versus the competitors that we're playing against, if we can execute against these new integrated offerings and these partnerships, I think we will deliver a lot of value for our customers that are some of our or most of our competitors would have a hard time matching.
Operator: And we'll go next to Greg Dunham with Goldman Sachs.
Gregory Dunham - Goldman Sachs Group Inc., Research Division: I also wanted to follow up on the backup performance because it does stand out this year as a great performance. And I just want to try to get a sense of was the -- how much of that was product cycle in FY '13? And as you look forward, do you think those type of growth rates are sustainable? You talked about some of the stuff you're doing in appliances. That would be one. And then the follow-up would be, how should we think about the gross margin structure next year and maybe a couple of years down the road as you shift to more appliances and [ph] subscription?
James A. Beer: Well, in the first part of that question, the product cycle, I wouldn't say that, that had very much to do with our results at all. We -- in fact, as we've discussed in previous calls, Backup Exec has been something of a challenge, and we continue to work through and improve upon our offerings in the Windows market there. So if anything, I think there's more opportunity ahead of us in that regard, both around the Backup Exec line as well as the NetBackup appliances. Two, gross margin, because I think that appliances will continue to grow and our service subscription type offerings will continue to grow, I would expect there would be continued pressure on gross margin to some extent as we saw in this past year, for example. But that's why we're really focusing on making commitments around operating margin improvements, hence the recommitment to the 200 basis point improvement in '14 over '13 even though we delivered more in operating margin in '13 than we were expecting to back when we did our strategy announcement in January.
Operator: And we'll go next to Greg Moskowitz with Cowen and Company.
Gregg Moskowitz - Cowen and Company, LLC, Research Division: I had a clarification and then a question. First, for Steve, you talked about flat Norton going forward, at least in the short term. Would that hold true even if you opt not to renew most or all of your upcoming OEM agreements? And then secondly, just a follow-up for James, I do want to ask about Backup Exec this particular quarter, you just touched on some of it. What I was curious about, though, was are we getting any closer to stabilization in that particular area?
Stephen M. Bennett: So on the first question, Greg, on renewals, I think that if -- again, the amount of new business we get new customers from Norton has declined dramatically from the OEM channel. It's still important but not nearly as important as it was. So if we chose not to renew a large deal when it came due, we would have a short-term blip that we would have to try and offset to other things like taking Norton to small business. But while we might have a short-term revenue, we'd be materially accretive to the bottom line. And so if that's the way it came down, we'd have a little short-term revenue blip and a significant positive on EPS.
James A. Beer: And in terms of Backup Exec, we're still experiencing challenges there impacting Backup Exec's revenue double-digits. Now I would expect that, that will improve gradually. I think the most material opportunity for us to improve with Backup Exec is around the next release that we're very much working on but won't be out for some time yet later in this fiscal year.
Stephen M. Bennett: And just one thought to add to James' point, look, I think it's the same team that runs both of these businesses, and we've made a lot of changes in the team that stubbed its toe in the release on Backup Exec. So it's been wholesale change, and I think it's the same team that's doing such a great job on NetBackup. So I think we're going to see real progress, but we did dig ourselves a hole and I agree with James, there's headwind there that we're actually digging our way out of in a market that's strong and growing. So I think this is a big opportunity for us. This was our execution that caused us the problem, nothing else, as witnessed by the real strength we've had on NetBackup where we didn't stub our toe.
Operator: And we'll take our next question from Michael Turits with Raymond James.
James Wesman: It's James Wesman sitting in for Michael. James, just looking at the business in the quarter, were there any verticals that stood out that were particularly strong or weak?
James A. Beer: Well, I was pleased with execution across the organization, certainly, our primary verticals, financial services, telcos, health care, so forth. I'd put the federal sector on the weaker end of the spectrum, not surprisingly given the sequestration challenges. But net-net, you look at the America's revenue growth, it was actually our faster revenue geography.
Operator: And we'll go next to Robert Breza with RBC Capital Markets.
Robert P. Breza - RBC Capital Markets, LLC, Research Division: Maybe James, just to clarify on the expense side as it relates to the commission, can you just clarify that a little bit more? Are you guys going to be capitalizing expenses here? Or just maybe a little bit more color on how expenses relate.
James A. Beer: No, it's, in essence, flattening out the commission expense across the 4 quarters. That's more so how you should think of it. So at different points in time, there will be one accrual or another. But the net expense result is a flattening quarter by quarter.
Operator: And we'll go next to Daniel Ives with FBR Capital Markets.
James Moore - FBR Capital Markets & Co., Research Division: This is Jim Moore actually in for Dan. Steve, since you've taken over, over the last sort of while, we've definitely seen a tougher IT spending environment just from what we've seen in the first quarter results from a lot of your tech peers. I'm just wondering if you guys have seen any changes in conversation with customers or partners, or if you could comment on the environment?
Stephen M. Bennett: Yes, no, I think the simple answer to your question is I think all companies are under spending pressure, but security and information management still have a unusually high focus and are standouts in terms of growth and market growth even in a difficult IT spending environment. All of the data we show for the next few years says that that's not going to change. And so we still feel quite good about the market growth opportunities, both in security and information backup or information management. And if anything, there's just more pressure. I mean, on both security and -- the amount of information continues to explode, and the security threat environment continues to become more challenging. So I see that there's a lot of forces pushing this market to grow that don't seem to look like they're going to abate in the near future.
Operator: And we'll go next to Richard Williams with Cross Research.
Richard T. Williams - Cross Research LLC: Wondering if you could talk about the potential for providing cyber security for Wall Street for financial organizations. Does that represent opportunity or risk? How should we think about that?
James A. Beer: Well, financial services have been one of our key verticals for many years and the challenges that they're facing from a cyber-perspective are increasing just along the lines of what Steve was just saying. So we see significant opportunities for us to continue to broaden out the relationships that we have with really all of the key financial services companies in this country and indeed around the world.
Stephen M. Bennett: Just to build on James' point, I was at a recent conference where one of the CEOs from one of the large financial institution said that they were taking up their spend on security 33% next year, and it's a big number. So I think that they are under such a serious threat environment in such a targeted vertical that they will have to continue to spend money now to protect the customer data and the assets.
Richard T. Williams - Cross Research LLC: Is that true as well in Japan as it relates to -- that you see in North America?
Stephen M. Bennett: Yes. I think in some cases, what you're finding because of all of the interest that you're reading about in the print that the market is growing faster in Asia than some other parts of the world because the threat landscape is tenuous in Asia or very challenging there, as it is in the Middle East and many other parts of the world. I think this is a global need because the attackers can play globally from wherever they are locally. This is a complete boundary-less playing field, and they're just going after multiple targets and there's lots of people who have vulnerabilities and so it's a target-rich environment for the bad guys.
Operator: And we'll take our last question from Rob Owens with Pacific Crest Securities.
Rob D. Owens - Pacific Crest Securities, Inc., Research Division: I want to focus a little bit on the Security and Compliance business growing, I think, 4% year-over-year constant currency. You highlighted how the DLP component of the business was strong. Just curious about the other components, specifically desktop, given some of the struggles one of your larger competitors have in that market, why you're not seeing more growth here. Is that indicative of just where that market is in terms of legacy or something else happening?
James A. Beer: Well, in addition to DLP, I was really pleased with the double-digit growth that we're seeing out of areas like encryption, Managed Security Services. Our Trust Services business continues to grow very nicely for us. So as to the Endpoint Security business, that's closer to flat. And I think that represents the maturity of that portion of the business. Now that said, it's still a very important part of a corporate environment, and we see opportunities to really leverage our skills, our capabilities of the endpoint as we enter into other partnerships with different players around the industry, and we'll have more to talk to you about that in the coming weeks and months.
Rob D. Owens - Pacific Crest Securities, Inc., Research Division: And then on the Storage and Server Management side, it seems like you've seen a lot of strength over the last few quarters from this mix shift to appliances. When does that start to anniversary, and could that pressure growth as we think about the back half of '14 for that category specifically?
Stephen M. Bennett: No. I think it's going to continue to -- look, my view is customers are increasingly preferring to buy their Software as a Service or through an appliance because it's easier as opposed to a license. So I think that we have to be focused on making it easy to buy -- for customers to buy all of our products and services in the manner they want to consume them, and I see appliances as being, in many ways, even faster growing than SaaS because it's a better way -- it's an easier way for customers to buy integrated solutions where we integrate the hardware and the software to make it easier for them to install and run. And so I -- and we have new appliances coming in the pipeline that we're quite excited about that James talked about. So we think that we have a great opportunity to continue to gain share in this big market where we've made a lot of progress in the last year, and we have new stuff coming that we're excited about.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back over to Steve Bennett for any closing remarks.
Stephen M. Bennett: Look, thanks for attending today. We feel great about the year we had in FY '13. We feel good about '14 with a lot of changes that we know are going to help us prepare -- lay the foundation to deliver much better performance in FY '15 through '17. So in this transition year, we're going to focus hard on executing and making the right decisions to build this foundation up so that we can be solid to accelerate things in the future. So it's a big -- it's a transition year, and you see that reflected in our thinking and hopefully in our words, but we're more excited than ever about our ability to deliver real value for our customers and continue the transformation. So thanks for your support, and we'll talk to you again next quarter.
Operator: Thank you. Everyone, that does conclude today's conference. We thank you for your participation.